Philip Bowman: Ladies and gentlemen, good morning and welcome to the 2015 Interim Results Presentation for Smiths Group. And the usual catechism before I go any further, can I ask to make sure that your wireless devices are turned off. As usual, Peter Turner, our Finance Director is alongside me, however, this will sadly be his last appearance here as he steps down on the 24th of April. And although we are well advanced with a search for his successor, we may not have somebody on board by that time. So we announced this morning that Rob White, who is the VP of Finance for Smiths Medical, will be appointed interim CFO to cover any transition period. I’d like to take this opportunity to thank Peter for his contribution to Smiths, and wish him every success and happiness in the next stage of his career. The divisional presidents and senior members of corporate team are mostly seated in the front row, and all of them will be pleased to join Peter and me in answering your questions at the end of this morning’s presentation. I’d like to start by giving a brief outline of the results before handing over to Peter to review the financials in greater detail. Each of the divisional presidents today will then present their own divisional results before I conclude with a summary of priorities for the second half of the year as well as the outlook. So now to today’s results. Revenue grew by 1% on an underlying basis, but adverse foreign exchange movements continued to hold back the overall reported revenues, which declined by some 2%. Headline operating profit was down 3% on an underlying basis, mainly due to Detection and to Interconnect. Overall profit performance was in line with our budget expectations, although the divisional mix was a little different. Earnings per share declined 3%, but operating cash conversion remains strong at 88%. The Board has increased the interim dividend by 2%, to 13 pence per share. And as I said at the year end, in order to underpin progressive returns to shareholders, the Board is continuing to exercise flexibility in applying the 2.5 times cover to take account of short-term impacts such as foreign exchange. We expect to rebuild cover over the medium term and clearly the second half of the year, if the dollar remains at the current level against sterling, will facilitate that. Return on capital fell 120 basis points to 15.4%. This measure is calculated on a 12 month basis so this decline mainly reflects one-off charges in Detection last fiscal year, and returns will improve as these charges drop out of the 12 month rolling period. Our restructuring program Fuel for Growth is on track to deliver £60 million of savings by the end of 2017. We’ve delivered £20 million of annualized savings since its launch some 18 months ago. These savings, as I’ve said previously, are earmarked to provide the fuel for investment in growth projects. With this in mind, we launched a new cross-divisional initiative, designated Engineered for Growth, to provide fresh momentum in four key growth areas: sales and marketing effectiveness, quality improvement, product innovation, and expanding the presence of our businesses in China. This focus will help accelerate divisional growth in each of these priority areas, through the sharing of best practice, improving the capabilities within each business, and investing in key resources. And I’ll cover this in just a little bit more detail later in the presentation. I’d now like to move on to a brief overview of divisional performance. Smiths Medical saw strong growth, which reflected its consistent investment over recent years in its infusion franchise as well as a target in sales approach that delivered some excellent results in the half year. We also saw a recovery in disposable sales following the distributor destocking that impacted the first half of fiscal 2014. John Crane delivered a resilient performance which benefited from its focus on aftermarket services for our rotating equipment customers. Unsurprisingly, the upstream business faced a slowdown in customer demand because of the lower price of oil, while our first fit OEM business also showed some signs of softening. The action plans in Smiths Detection are beginning to stabilize performance, but trading conditions remain challenging with volume and price pressure. However, the breakeven point of the business has been reduced significantly and further benefits from the actions we have taken will be apparent over the next 18 months. Looking to next year, the order book is stronger with recent contract wins. Smiths Interconnect faced tough trading due to the phasing of certain programs and delays in customer spending, particularly in the telecoms sector. We saw strong growth in data center revenues, but these were offset by challenging conditions in connectors and in telecoms. Flex-Tek delivered another solid performance with growth in residential construction, specialty heating elements, and in hoses for aerospace and automotive applications. Increased investment in marketing and new products held back margins. Turning now to our safety and environmental record; we have made good progress over recent years in delivering improvements to key safety metrics. Although the recordable incident rate rose slightly in the period, largely due to a number of incidents within John Crane, more than 80% of our sites have been incident free, since the beginning of the year. I’ve long emphasized the importance of tracking leading edge indicators to facilitate driving further improvement. Three years ago, we introduced the leading safety activities program designed to improve the safety culture, engagement and, above all, to reduce injury risks. Our full year goal is to complete at least 90% of these activities with a mid-year target of 45%. And I’m pleased to say for this year the businesses, in aggregate, have already achieved 57%, so well ahead of the half year target. In terms of environmental metrics, we have again recorded further improvements on energy, greenhouse gases, water, and waste. We’re targeting a 15% reduction in these by the end of FY 2018, except for water where the target is 10%. In general, we are making good progress in all of these metrics with the exception of energy, where consumption in the first half was adversely impacted by lower winter temperatures, particularly in the northeast of the U.S.A. We expect to make further progress as we continue to simplify our manufacturing footprint and we continue to invest more in enhanced manufacturing processes and more energy efficient plant. So with that overview, I’d like to pass over now to Peter to talk in more detail about the numbers. Peter, please.
Peter Turner: Thank you, Philip, and good morning everyone. As you know, this is my last results presentation at Smiths and I’d like to take the opportunity to thank you all for your engagement and support over the last five years. I’d also like to extend my thanks to the team at Smiths and wish them well for the future. So, now turning to the business of the day, I’ll start by looking at the main drivers of the profit progression for the Group as a whole, starting with last year's profit before tax of £215 million. Volume growth added £4 million with growth in Smiths Medical partially offset by declines at Interconnect and Detection. Adverse price and mix in Medical and Detection and Interconnect offset gains in John Crane to result in a £4 million reduction. Cost inflation was a £13 million headwind, principally driven by employment related cost increases in our larger divisions. We achieved more modest net operational efficiencies of £1 million. Outside of the restructuring program, progress was more muted with the weaker volume backdrop at Interconnect and Detection, but also due to some factory inefficiencies at John Crane. We invested an additional £8 million with a combination of increased R&D and sales and marketing initiatives. As planned, these were funded by the cost savings from our Fuel for Growth program. Net foreign exchange was £1 million negative with £6 million from translation partially offset by transactional gains. And finally interest, this was a £6 million benefit following the repayment of the £250 million bond in May last year. We’ve included the usual translation foreign exchange ready reckoner on the slide and a divisional casual is also in the appendix. Turning now to cash conversion; at 88%, it’s slightly better than last year and a continuation of our strong track record in this area. Capital expenditure increased slightly, driven mainly by the investment to restructure the business as part of Fuel for Growth, and some growth investment in various divisions including the manufacturing capacity expansion in John Crane. Capitalized development costs fell as we are now expensing more of our Detection R&Ds than in the past as well as some of the larger programs such as XCT coming to the end of their development phase. Overall, this is a consistently strong cash performance and cash generation remains a key focus for the Group. Let me now give you some detail on the items that reconcile headline operating profit to the statutory numbers, starting with the exceptionals at the operating profit level, which amounted to a net charge of £19 million in the period. The £19 million restructuring charge relates mainly for the Fuel for Growth program and I’ll give some more detail on this shortly. There was also a £12 million charge associated with the John Crane Inc asbestos litigation. As we said last year, this has now reverted to the trend of typically around £20 million to £25 million a year. We also rolled forward the provision for Titeflex litigation for product claims. As with John Crane Inc, this is a rolling 10 year discounted provision, which is reviewed every six months. We also had a £13 million gain from the changes we made in August last year to the U.S. pension plans, as I described in the year end presentation back in September. The ongoing amortization of acquired intangibles was £18 million and, in addition, we have a £26 million goodwill impairment charge for John Crane production solutions, the small upstream business that supplies products and services for artificial lift. This impact has been triggered by the significant drop in oil prices, which has adversely affected our upstream customers and their investment plans. Philip mentioned that our Fuel for Growth program is on track and this slide presents the costs and savings by division. The two columns on the left-hand side sets out the costs and annualized savings incurred to date, and on the right-hand side are the expectations for the whole program. The overall expectations of savings and costs are unchanged, but we've slightly increased the anticipated savings in the current year to approximately £25 million, slightly ahead of the original plan. The savings are beginning to come through in the divisions, although Smiths Detection savings will not start to accrue until later in the second half with the closure of three North American sites. To date, we've incurred costs of £44 million which have been treated as exceptional and this has delivered annualized savings of £20 million so far. Turning now to pensions; you'll see the net deficit has raised £96 million since July last year to £338 million. This has been driven mainly by a reduction in bond yields in the UK and U.S., as well as a change in mortality assumptions in the U.S. plans based on the latest published data. Asset returns along with cash contributions to the scheme, largely offset the increase in liabilities. And we continue to invest in the UK gilts in the escrow, which are shown here at £139 million. Of course, you'll know that the net deficit is higher on both an actuarial and buyout basis. We're expecting cash contributions for the year to total around £18 million, in line with last year, and as detailed on the slide. In addition, we continue to invest £24 million a year into the escrow. I should also like to remind you that the triennial review for the two UK schemes will begin at the end of this month, and will conclude likely next year. So finally, looking to the rest of the year, here's a summary of some of the key financial items. We expect the headline tax rate to be in the range of 26% to 27% for the year, and cash conversion will be between 85% and 95%; slightly below out usual run rate, reflecting our plans to invest more CapEx to restructure and grow the business. I've already covered the pension contributions. At current exchange rates, we foresee net debt at approximately £850 million at the year end, subject to M&A activity, and future foreign exchange movements. So with that, I'd like to hand you back to Philip.
Philip Bowman: Thank you, Peter. At previous presentations, I have emphasized the need to improve revenue growth. And reviewing our progress over the past seven years, while I think we have made good headway in improving margins, cash conversion and returns, the difficult economic environment has, undoubtedly, made revenue growth more challenging. To give fresh impetus to our top line, we have launched a cross-divisional program, which I referred to earlier, called Engineered for Growth. Unlike Fuel for Growth, which focuses on cost savings to fund investment, this initiative is about gaining greater momentum in four specific areas; sales and marketing excellence, quality improvement, customer-led innovation, and expansion in China. We're encouraging cross-divisional collaboration and sharing of best practice. We're also improving our capabilities, and increasing investment and resources in these targeted areas. As an engineering business, we've taken great pride in delivering technological solutions, but coming from an FMCG background, I've always observed that we are not as customer-centric as we should be. To address this, and to become a more market-led business, we are focused on upgrading our sales and marketing capabilities. The sales and marketing council has been established across the entire Company, to improve customer insight, market segmentation, and the management of the sales pipeline, and using a common set of leading indicators. We've also launched a global sales academy to deliver training for managers in the sales and marketing area across the Group, and the first course for U.S. based managers was held in January. And there are similar sessions scheduled in the remainder of the financial year for Europe and for Asia. We also see very real opportunities to improve quality. Now, that is not to say that our products are poor, but to acknowledge the fact that we can lower the cost of poor quality by reducing defects, by reducing the extent of rework and, of course, reducing the amount of scrap. Getting it right first time will improve our responsiveness, and also improve customer satisfaction. Definitions for calculating the cost of quality and for tracking improvements have been put in place, and we are already seeing very good progress in several of the divisions. Aside from the direct financial benefit to margins, there is, of course, the equally important long-term benefit of enhanced customer satisfaction, which should lead to greater revenue growth. We've consistently increased our spend on new product development over recent years. Our challenge is to generate an appropriate return on this investment and, in particular, to accelerate the pace at which we are able to get new products to market. Again, I believe we need to be more customer led. We have held our first innovation summit to ensure that technical knowledge is shared more productively across divisions and we've looked at the best ways to prioritize our spend more effectively. Another key area is talent development, to ensure that we attract, we retain, and we develop the best in engineering skills. The importance of China to any business with global aspirations is clear; however, it is a market that Smiths was very slow to enter. Last year, our revenues in China totaled a modest to £130 million, and our substantial investment over several years was not yet adequately reflected in either revenue or profit growth. I believe, for this to happen, we need to change our business model to allow the divisions to work together more closely in the Chinese market, and truly leverage the strength of Smiths. Our plans for driving this growth there are now taking shape, albeit faster in some divisions than in others. We're in the process of making a small number of leadership appointments in key areas, such as legal and government affairs, as well as a senior representative for the whole of Smiths within China. It is a bold departure from our traditional organization structure, but one that I and the Board believe is necessary if we are to raise our profile in this country and grasp opportunities more effectively in this huge market. Each of the divisions are now delivering their strategic plans for China. And John Crane, for example, is undertaking a major long-term investment at its production and service center in Tianjin. Becoming a world class engineering company has always been my vision, and you'll hear some examples of these initiatives in action during the divisional reviews. So, with that overview, I’d now like to ask Duncan Gillis, to take you through John Crane’s results and outlook. Duncan, please.
Duncan Gillis: Well, thank you, Philip, and good morning. Overall, John Crane posted solid results. Underlying revenue grew 1%; however, excluding upstream oil services, revenue increased 3%. This growth was mainly driven by the strong aftermarket rotating equipment business. And this was partially offset by a slight decline in first-fit rotating equipment sales and the weaker upstream oil services segment. Headline operating profit margin was maintained at 23.2%. In total, aftermarket revenues grew 3% on an underlying basis. However, when upstream oil services sales are excluded revenues rose 7%, illustrating the strength of our rotating equipment business. Global energy demand has remained robust and many refineries are operating at full capacity. The business continues to renew and win large contracts. A couple of recent wins include a global agreement with a major Saudi petrochemical company and a gas seal reliability management contract in Singapore. Upstream oil services, which represent a relatively small part of our business and are reported as part of our aftermarket business declined as the low oil price put pressure on upstream customers. Underlying sales of first-fit original equipment decreased 2% as market pressures in Europe were only marginally offset by demand in North America. Although, we’re seeing some delays or cancellations, we continue to increase our share of new downstream business. These included an exclusive agreement for part of Kuwait’s clean fuels projects to upgrade two refineries. This is one of the largest projects John Crane has won in the past 10 years. Constraints in our rotating equipment production, reported last year, have been resolved through increased machining capacity and output in our lower cost factories, resulting in less use of outsourced manufacturing. Emerging markets continue to offer a strong platform for growth with revenues up 11%. They now account for 25% of John Crane’s sales. Mexico and Nigeria saw particularly strong increases. And we continue to make good progress with our cross-selling initiatives to promote our broader portfolio of filtrations systems, bearings, and couplings. For example, we’ve invested in capabilities to service bearings at sites in Canada, Germany, Dubai, and Singapore. Our investment in innovation rose 28%, underlying our commitment to meet future market needs. For instance, we introduced the AURA 220, the first of a new generation of advanced gas seals that will help customers cut operating costs. We’ve also accelerated our new product development process and I have more confidence than ever in our broad pipeline of exciting new products. We continue to strengthen our aftermarket services in strategic locations around the world and in the past two years have upgraded about 10% of our 230 service centers. Singapore, Malaysia, Dubai, Saudi Arabia, Egypt and Kuwait have all seen centers opened or upgraded. John Crane’s strong focus on the aftermarket should support a continued resilient performance in the current low oil price environment. The predictable revenue from our installed base supports an aftermarket that now accounts for almost two thirds of total sales. Our customers continue to depend on us for services and repairs provided by our aftermarket business. Furthermore, our bias towards mid and downstream applications in oil and gas also helps, with refineries and petrochemical plants running at full capacity because of the low priced stocks – feed stocks. In addition, we have a relatively limited exposure to upstream applications, which has been hardest hit so far by the low oil price. We also have experience with managing the business through cyclical downturns, and have already identified a comprehensive action plan to preserve margins in this challenging environment. These plans include a cost reduction program to address discretionary spend and overheads. We typically operate with over 20% of our machining capacity outsourced and are able to pull much of this back in-house. Our focus on aftermarket services means that we should see a positive mix dynamic, as the lower margin OEM business typically comes under the greatest pressure versus our aftermarket business. John Crane is prepared for the ups and downs of the business cycle. While we’re not immune, I believe our robust business model means that we’re better placed than many to endure a lower oil price environment. At constant currencies, trading performance in the second half maybe slightly lower than last year, as our upstream segment contends with the difficult market conditions caused by weak oil prices. But I expect mid and downstream orders to show resilience and our cost saving initiatives should help to underpin operating profit margins. The current order book is solid. The project delays are possible in the current environment. I’ll now hand over to Jeff.
Jeff McCaulley: Thank you, Duncan and good morning. I’m very pleased to share our results with you today. We delivered strong underlying growth in the first half, building on the momentum of the previous six months. Growth was driven by our focus on infusion products and a recovery in disposables, helped by competitor disruption in a soft comparator period. These figures provide early support for our strategy of accelerating new product development, improving sales and marketing, and improving our cost structure. While there remains a lot to be done, I'm delighted with our initial execution. Headline operating profit rose 9% on higher volumes, tight cost controls, and the initial benefits of restructuring. Margins increased to 19%. Medication delivery sales rose 19% on strong performance in ambulatory infusion, particularly the continued success of our CADD product line, which was featured in a targeted sales initiative. This growth also reflected the launch of a new pump in China. Vital care underlying sales rose slightly, despite flat procedure volumes and price pressures in developed countries. Our key product lines all grew by varying degrees, despite these difficult market conditions, helped by a soft comparator period marked by distributor destocking. Underlying sales of safety devices increased 3% as both PIVC and safety needles returned a growth, with targeted account conversion programs and improved sales and marketing execution, also helped by a softer comparator period. I am confident we’re building a solid foundation for a more competitive, higher growth, higher margin business. Investment in new products continues to rise, and we're prioritizing products that we expect to deliver the strongest returns. Overall R&D investment rose 13% to 5.3% of sales. Sales of the CADD Solis PIB pump grew sharply and Medfusion 4000, Jelco IntuitIV and ViaValve products all launched in the last two to three years have performed quite well, supporting our thesis for additional investment in new product development. Our new product pipeline is robust and will include key launches in vascular access, temperature management, pain management, airway management, and infusion over the next two to three years. We're also maintaining our investment levels in the faster-growing emerging markets. In China, our focus on key product registrations, improved sales and marketing alignment and incentives, and the recent launch of new products, have delivered a step function improvement in results with China sales up 17% in the first half. In India, our transition to a direct selling model has helped to increase sales by 43%, and we continue to deliver healthy revenue growth across our Southeast Asia distributor markets. At now around 10% of our total revenues, the emerging markets offer meaningful growth potential to counter the more sluggish markets of the developed countries. So we'll continue to focus on expanding our presence and improving our performance in these key markets. We also continue to see real opportunity to improve our productivity and service levels. We're in the first year of a multiyear program to optimize our network in manufacturing, streamline our supply chain, and improve vertical integration, as we've talked previously. More recently, we’ve begun an organizational redesign to reduce management layers, increase spans of control, speeding decision making, while reducing SG&A. This will have a more immediate impact than our network optimization and is already delivering benefits. Looking ahead, we expect growth to slow in the second half against last year's much stronger second-half performance. Medication delivery should continue to perform well on the strength of recent product launches, as well as our continued focus in sales and marketing. Performance, however, is likely to revert to levels more in line with market growth. Vital care and safety will be more challenged against last year's strong second half. We are increasing our investment in new product development, especially in these segments, to improve our competitiveness and return to market growth rates in the midterm. Despite ongoing price pressures and transactional FX headwinds, margins are expected to show modest improvement for the full year, reflecting the benefits of our operational efficiencies, as well as our restructuring. I'll now hand it over to Richard.
Richard Ingram: Thank you, Jeff, and good morning. In an increasingly competitive market, Smiths Detection has implemented a range of initiatives to shape the business and return it to profitable growth. Whilst progress has been made in key areas, sales and profits declined in the first half, as trading remained extremely tough. A number of major programs were also delayed, with a corresponding impact on performance in some of our end markets. Underlying revenue fell 5%, while margins were squeezed by lower volumes, some price pressure and adverse mix. These more than offset the benefits of our stronger control measures, particularly in program management. Transportation, which accounts for about half of our revenues, fell 5%, amid challenging market conditions, particularly in the U.S. However, the order book has markedly improved, with major contracts from Abu Dhabi, Heathrow and Manila airports, ranging from hold baggage X-ray systems to echo body scanners. Ports and borders, representing around 50% of our business, declined in EMEA and North America because of low volumes and increased price pressure. But Latin America remains a strong growth prospect; orders in the period here included cargo inspection systems worth some £14 million for Nicaragua and Paraguay. Underlying military revenues grew slightly, as defense budgets remain constrained. Long-term contracts underpin this business, and we secured an additional order for more than £9 million from the U.S. Department of Defense. Critical infrastructure performed well, rising 36% on the back of strong U.S. and Middle East sales. The New York Court Authority ordered networked X-ray systems for 35 courthouses, and our X-ray systems are now used to safeguard a range of Saudi Arabian Government Ministries and other key buildings. The business recovery plan I have planned here last September is showing signs of building momentum. The aftermarket is a strong, profitable revenue generator, and, with an 11% increase in the first half, now accounts for more than the one-third of our overall revenue. Recent contract wins, such as Heathrow and Abu Dhabi, will help to expand our installed base. They will be supported by multiyear service agreements. The growing importance of emerging markets is also underlined by the completion of a major cargo handling order for the new Al Maktoum International airports in the UAE and the Manila Airport contract. Greater focus on building a culture of execution and accountability has helped to minimize completion programs in our major programs. We have introduced new standard processes for all projects, which are scrutinized monthly by senior managers. To reduce our global footprint, three North American sites will close by the end of April, and their activities are being consolidated amongst our existing plants. Our product portfolio is also being streamlined, with R&D focused more tightly on a smaller number of potentially more attractive prospects. Reflecting this, Company-funded R&D fell 6% – fell to 6% of sales, as some major capitalized development programs, such as XCT, concluded and we concentrated on developing products more closely aligned with markets and customer needs. New products gear towards transportation and critical infrastructure in particular include CheckPoint.Evo, a software solution that greatly enhances airport inspection capabilities. And the new HI-SCAN system was launched to meet global requirements for 100% inspection of air cargo on passenger flights. So looking at the rest of the year, the rate of sales decline in the first half is likely to persist. However, recent contract wins, and the strengthening order book, are expected to support improved revenues from fiscal year 2016 onwards. Headline operating margin should recover in the second half against a comparator period effected by one-off charges. Compared with the first half, like-for-like margins in the second half will continue to be relatively soft in certain markets, partially offset by the benefits of cost reduction initiatives. Margins in the medium term are expected to improve, as the product initiatives and other cost savings take effect. I’ll now hand you over to Roland for Smiths Interconnect. 
Roland Carter: Thank you, Richard, and good morning. Smiths Interconnect’s reported and underlying revenue fell 6%. This is mainly due to delays in customer spending and program slowdowns in many of our end markets. And this was only slightly offset by growth in data centers. Margins came under pressure because of negative operational gearing from lower volumes. Revenue also declined in the higher margin sectors, causing adverse mix. One of the challenges that we face is our business is becoming more seasonally biased to the second half. This makes managing cost absorption throughout the year more difficult. Looking at our business units, underlying revenues at connectors fell 4%. This was mainly due to export license delays affecting European defense customers and a lower demand from two large medical customers. However, revenues in the second quarter improved slightly on the back of a recovery in defense and medical and strong demand for our new semiconductor test products. And at connectors, we have an improving order book for the second half. Microwave sales decreased 12% as our U.S. network operator customer slowed the rate of CapEx for 4G deployments. Reducing demand for our wireless telecommunication products as well as this, a change of timing of certain orders for our high performing cable assemblies, of course a large reduction in first half equipment sales. Underlying revenue at power did rise 4%, as data centers sales grew. This was particularly the case here in the U.S., where we won contracts both with existing co-location customers and attracted new enterprise customers in financial services and IT. The industrial product and power protection markets remain soft, especially in the US, again, as customer spending slowed. R&D investment remained at 6.5% of sales with customer-funded portion flat, in line with stabilizing defense budgets. We continue to focus on new product development on spend on markets with higher growth potential. For example, revenues from our new semiconductor test sockets are growing strongly. And this month, we launched a new piece of test instrumentation for analyzing cables and antennas. As part of the Group's focus on quality, we have analyzed the main causes of poor quality and are working on our action plans that should drive a significant improvement in this area. We continue to increase our investments in emerging markets, particularly China. However, during the period, revenues were impacted by timing of certain test equipment orders that benefited prior year as well as a Chinese commercial aircraft program, which was delayed, not moving yet from design and qualification into production. We continue to work hard at driving cost efficiencies in procurement, value engineering and lean manufacturing. Looking to the rest of the year, we expect continued strength in data centers and semiconductor test. Other commercial markets, such as medical, also show positive trends. Defense is starting to display signs of modest growth, although individual program dynamics will be a greater influence on our future performance. U.S. wireless operators are likely to continue restricting infrastructure investment, but there are new network opportunities in Asia and Australia for us. Overall, we expect that the second half performance will be better than the first, but will remain below prior year levels. Thank you. I'll now hand over to Tedd.
Tedd Smith: Thank you very much, Roland. Flex-Tek revenues grew again, helped by a further improvement in the U.S. home construction market, growth in sales of specialty elements and aerospace and automotive hoses. Despite increased volumes, margins were slightly down because of higher investment cost in marketing and product development. Fluid management revenues rose 1% on growth in commercial airframe and automotive applications. This was partially offset by lower revenue from satellite launch vehicles and military gas turbines. Construction sales rose 4%, supported by improved demand for HVAC ducting and flexible gas piping products, as well as an increase in single family home starts. Revenues from heat solutions rose 13% on the back of increased sales of specialty heating elements and improvements in the household appliance sector. Flexible solutions saw revenue decline 2%, mainly because of a very strong year comparator period, when new sleep apnea products were launched. Floorcare, on the other hand, remain weak. Our increased R&D investment, up 23%, is proving highly effective at gaining approvals and products for next-generation airplanes and new heating technologies. Healthy growth in fluid management is generated by demand for quieter, more fuel-efficient aircraft for our lightweight and ultra-strong hoses. Sales opportunities for our specialty heating elements continue to emerge in higher margin markets. Our investment in additional sales and marketing capabilities is effectively complementing the proven strength of the business and management. We have developed an investment plans to expand our facility in Laconia to support the anticipated growth in aerospace applications. In addition, it will deliver efficiencies and support quality improvements. The expansion will also allow us to enhance our dedicated R&D resource to really drive innovation and be much more customer focused. Looking to the rest of the year, U.S. residential housing should show steady improvement, commercial aerospace demand will remain muted until the new programs that need our fluid management products begin to ramp up again. A general improvement in economic conditions is expected to benefit heat solutions, while Floorcare is likely to remain weak. Overall, I believe we’ll continue to make steady progress. Philip, I’ll now hand it back to you.
Philip Bowman: Thanks, Tedd, very much. I think I have achieved one of my objectives, which was to get you to make a presentation while I was CEO of the company, finally got that.
Tedd Smith: In southern…
Philip Bowman: In southern. Looking ahead, we remain committed to building on the progress already made in re-balancing the Group towards commercial and higher growth markets, whilst reducing dependence on government contracts and developed economies. And that’s been a long journey, but it’s an ongoing one. We will also focus on successfully executing the divisional improvement plans through greater investment and growth drivers and many of those have been described in the various presentations this morning. These, of course, include increased spend on new product development, sales and marketing and on penetrating more rapidly growing markets. Over the past seven years, value engineering, site rationalization and organizational change have all helped drive operational efficiency, across the companies within the group. That said, real opportunities still exist and will be delivered through the Fuel for Growth program. And as I said earlier, this has already generated £20 million of annualized savings and most of the projected £60 million of savings I would reiterate are earmarked for funding investment associated with the initiatives to accelerate revenue growth. In terms of outlook, we expect to deliver improved underlying performance in the second half. Smiths Detection will benefit from a soft prior year comparator which, of course, was affected by a number of non-recurring charges. John Crane will probably see a slight easing in trading, as upstream customers adjust their expenditure to the lower oil price, and there is a potential risk of deferral of some OEM projects. The growth rate at Smiths Medical will slow versus the strong first half performance. Smiths Interconnect expects some recovery, but as Roland said, will not achieve the revenue and profit of last year. And Flex-Tek should continue to perform well. We remain focused on investing to drive sales growth in what are attractive long-term markets, and on delivering further operational efficiency improvements, while generating strong cash conversion to service the legacy liabilities and dividends. So with that, we conclude today's presentation. And as I said earlier Peter, the senior management team the divisional presidents would now be very pleased to take any questions from you. In terms of housekeeping, could I just remind you, so everyone can hear the question, to wait until a microphone reaches you, and preface any question or observations with details of your name and the company that you represent. Thank you again for joining us this morning.
Q - Martin Wilkie: Good morning, this is Martin Wilkie from Deutsche Bank. A question; on John Crane you've given quite detailed views on the sort of growth outlook and margin resilience. But on pricing in particular, it sounds like mix is going to be good because of the aftermarket, but on pricing obviously we are hearing from elsewhere in terms of requests, almost sort of blanket requests from oil and gas companies about price down. Just a sort of comment on what you're seeing and how you react to that, and how you deal with that would be very helpful. Thank you.
Philip Bowman: Okay. I will pass that one I think to Duncan.
Duncan Gillis: Sorry, who asked the question?
Philip Bowman: Martin.
Duncan Gillis: Yes, Martin, in the aftermarket business, we have customers asking for price concessions, but we're able to kind of explain our value proposition in terms of driving productivity in this environment, maintaining their operations, and so we're able to push those off quite effectively. In the upstream business, it's a little bit different, and you read a lot about, particularly in North American shale, lowering the breakeven point. So there, we're trading off volume for pricing in order to continue to grow share in this environment, prepare ourselves for the next step as things come back and we start to see growth. And then in our rotating equipment OEM business, we really haven't seen a lot of changes from historical. There's pretty good discipline in the market. Project startups are pretty robust right now. We're seeing some cancellations, but not a lot. Deferrals are occurring but again not a lot. We're a little bit concerned about that going forward. So nothing unique in terms of price pressure there.
Philip Bowman: Duncan, thank you for that. Next question in the third row.
Nick Wilson: Good morning. It’s Nick Wilson from BESI. Staying with John Crane, one question please. You mentioned the small size of John Crane production solutions, but I'm just wondering any kind of quantification 5% of divisional sales, 10%, just to give a feeling for that? And then I understand that Detection is a lumpy business, so is there any assistance on what the total order book is now? Or alternatively, if you can't give that, a rough kind of growth projection just particularly in terms of top-line delivery of major contracts as we go through 2016, please?
Philip Bowman: Nick, I'll first refer to Duncan in terms of the upstream component, please.
Duncan Gillis: So Nick, as we've talked previously, our upstream business is about 15% of total revenues, midstream is about 15%, and downstream is 70%. We haven't historically disclosed production solutions specifically as a piece of that upstream, but it's not more than half of that.
Philip Bowman: Duncan, thank you for that. In terms of Detection, one observation that I have made in a number of presentations is that we've been very focused on driving the proportion of our revenue that comes from recurring aftermarket contracts in the same way, of course, as we've seen with John crane. And I think in the period I've been with Smiths, that's gone from high single digits, we're now over 30% of our revenue comes from that. So while the business is still lumpy, we're doing a lot of work to try and reduce the extent of that. In terms of growth for next year, Richard, I'm not sure you probably want to commit yourself that.
Richard Ingram: But I can give a little bit of flavor.
Philip Bowman: Okay, a little bit of flavor.
Richard Ingram: Yes, good morning again. So just to give you some calibration, obviously absolute numbers are a little more difficult to talk about. You'll have seen in the press the scale of the Abu Dhabi announcement, it's a multiyear program, but obviously that's significant. The objective we set ourselves against our internal budget was to drive our order intake at 110% of the budget, and it's safe to say we're in the first half we did very well against that objective. So that does tee up 2016 for some year-on-year growth, albeit you'll be wanting – you've seen some decline in the first half. But I think it's safe to say we'll see a good chunk of that revenue coming through into executable programs in the first and second half of 2016. So – and we did okay on order intake, and we still have more to go at.
Philip Bowman: Richard, thank you for that. Next question, second row.
Glen Liddy: Good morning. It’s Glen Liddy from J P Morgan Cazenove. On John Crane, you said that the refineries are running very hard. Is that part of the deferral of maintenance that they catch up with later, or it's the deferrals in different areas where it's just the slowdown in the business rather than the cycle of maintenance? And so the Detection business, you've won several big contracts recently Heathrow and Abu Dhabi and others. Could you give us an update on whether these are coming with attractive aftermarket opportunities to make up for the size of projects that often come with relatively modest margins for OE? And then finally on Medical, you mentioned that the peers have had problems in infusion systems. Are those problems behind them from an FDA perspective, and is that part of the reason for returning to a more modest growth in the second half? Thank you.
Philip Bowman: Glen, thank you very much. Duncan?
Duncan Gillis: Glen, the refineries are running hard and so the major shutdowns are being deferred, and we'll see those as if and when demand starts to slow down. We don't really expect it to slowdown, which is one of the reasons why our aftermarket business is so strong. So what we're seeing is a lot of repair work, a lot of service calls on site in order to keep the pumps moving, ensure the seals are sealing properly in order to drive productivity, and that's what's driving that 7% growth that I talked about earlier.
Philip Bowman: Thank you. Richard, do you want to pickup the Detection question?
Richard Ingram: Yes, so in fact both of the major contracts that we’ve talked about recently a Heathrow and Abu Dhabi come with aftermarket contracts, which were already outlined. In one case, they're actually signed in detail; in the other case there's just some detail to put around that, but we have captured the aftermarket obligations. So I think, if you look at the nature of our products, as the products – the requirements become more complicated as the threats are – the future threats are not yet known and, therefore, we're working towards more upgradeable system that does play in our favor in terms of being able to lock in the aftermarket at the point of OE sales. So it's critical part of our strategy; we don't always succeed, but in this particular case, we've done pretty well in the first half of this year.
Philip Bowman: Thank you, Richard.
Jeff McCaulley: So, Glen, two things on our competitor disruption, largely due to quality. Most of that is behind them now; most of them took action very quickly to do other things in the market, and so the impact in terms of head to head competition in the market has been lessening over the past couple of years. Probably the bigger impact is that a number of our competitors end of lifed some of their products when they had the quality issue. And that end of lifeing gave us a real opportunity to be incredibly aggressive in the marketplace, and we have been. So I think some of that opportunity starts to wane a bit, as we go forward. We still feel very good about our position, we feel very good about our competitiveness of our portfolio and what we're doing in sales and marketing. So we think we'll continue to be a share taker, but there will be less opportunity for some of those end of life product conversions that there there's been in the last couple of years.
Philip Bowman: Thank you, Jeff. In the third row of the middle.
Alex Toms: Hi, good morning everyone. It’s Alex Toms from Bank of America Merrill Lynch. Three questions from me. I’m sorry, Duncan, I think you have to get up again. Another question on oil and gas; can you just maybe talk about the impact potentially of destocking, whether that's an element we should think about, if there's much through distributors. And the second question around the Engineered for Growth program. Is there any cost associated with that over the next two or three years? And third question is really on Interconnect; you've talked about this, I think, for the last couple of years in terms of the seasonality moving into the second half of the year. What's driving that because obviously you don't see that – you see that on a calendar basis for a lot of companies, but not on kind of your yearend? Thanks.
Tedd Smith: Alex, in terms of the Engineered for Growth, I go back to the comments that I made in the presentation. We have the Fuel for Growth program in place, which will deliver at least £60 million of savings by the end of 2017, and we have earmarked most of that for the investment to support growth initiatives. So yes, the answer to your question is there are costs associated with it. I mean clearly setting up the sales academy, training people, bringing people in from around the world to train them on a regular basis has costs equally the infrastructure we're building on a Group basis within China has costs, and there’re similar costs associated with the other ones. So the answer is that, but the overall intent was always to finance those from additional savings. Duncan, destocking in oil.
Duncan Gillis: Alex, thank you for the exercise this morning. Our distributor business is – first it's a small part of our business and secondly, the vast majority is outside oil and gas. And so we're not seeing any impact there. In fact, our distributor business grew at double digits in the first half quite strong. So, we're in good shape there.
Philip Bowman: Thank you, Duncan. Roland, seasonality of Interconnect.
Roland Carter: Thank you, Alex. Firstly, let me remind you, last year we did mention we had a very strong H2, but there's no doubt that Interconnect will continue to be a seasonal business. So what's driving that? Firstly, it's the telecoms and data center build out, so short answer to that is weather. So there's only a season where we do actually build out the towers and the components that go into that. And then, of course, with the semiconductor market, that's much to do with the push for those two events that we're all familiar with, one, Thanksgiving and one, Christmas, so we do see a strong push just towards the end of the financial year in those markets. This effect will not lessen as Interconnect continues to focus on those markets. Thank you.
Philip Bowman: Thank you, Roland. The next question, third row this end carry if you would.
Alexander Virgo: Good morning, yes, it’s Alexander Virgo, Nomura. A couple of questions please. One for Duncan again, I'm afraid. Just the £26 million impairment, if I think your numbers you just gave on production solutions imply it's maybe, what, £75 million to £100 million in revenue, so £26 million sounds quite a big number. So I just wondered if you can talk around that. And then on Medical, I think you mentioned a £4 million headwind on price mix driven by Medical in the context of the strong organic growth. I wonder if you could talk about the pricing and the mix, what's actually one or the other. And then lastly, just can you give us a figure for the EM exposure in Medical now?
Philip Bowman: Okay, Duncan, do you want to – Peter, okay, very good.
Peter Turner: The £26 million is £26 million out of £31 million of goodwill in that cash generating unit and that's basically part of £70 million of assets before the impairment. So just to give you some dimensions around that.
Philip Bowman: Jeff, please.
Jeff McCaulley: Sure. So we’ve talked about price mix in the industry being somewhere in the 1% to 2% range and being pretty consistent over the last number of years, and that's very much where we see the business today. A little closer to the 2% range than the 1% range we’ve seen in the last couple of years, so maybe a slight increase in price mix pressures, some of that's just driven by the competitiveness within the marketplace. Overall, I think our emerging markets exposure was the other question, so about 10% of our business comes from the emerging markets today, and that's actually not far from where a lot of our competitors are there. It's certainly not the back of the class, but it's not the front of the class either. So we believe there's absolutely opportunity to be a big player in the emerging markets and participate more fully in the growth there.
Philip Bowman: Jeff, thanks very much. Any other questions, yes. In the fourth row in the middle?
Sean McLoughlin: Good morning, Sean McLoughlin, HSBC. Two questions from me. Firstly on R&D, this is actually down in the first half. What’s your view longer term on R&D? As you see more and more product launches will this be coming down, or will you continue to drive higher R&D as you drive higher sales? Secondly just on cross-divisional collaboration, something you mentioned a couple of times; you had the example of China. Just trying to understand, what concrete synergies do you think are realistic? And also on – possibly on a product level not necessarily through legal and other aspects that you mentioned. Thanks.
Philip Bowman: Sean, I think two things. One is R&D spend, and I think if you reflect back to some of the presentations over the past few years, one of the observations that I've made fairly consistently is that, as a Company, we had underinvested in new product development. And that was particularly true within Medical where the spend had been at a very low level for a number of years. And you're faced, as a public company, with the inevitable challenge of trying to deliver earnings progression, and also ramp up your spend on new product development. And we've been very focused on trying to do both over the past period of time. The change in the first half of this year, as Richard explained, was largely due to the end of the XCT program. That was a substantial investment for that piece of new technology. The good thing is we've now seen some significant sales of that equipment, which is clearly encouraging and will give us some reference sites which we can use, I think, to develop further sales from there. In terms of investment, my belief is we continue to need to raise, over time, our investment. That's particularly true within Medical, a lot of our investment over the last six years since I've been at Smiths has gone into the infusion franchise; that’s paid off, you’ve seen today 18% growth, which was a very good result. But in some of the other franchises, we are going to have to invest more. And you will have seen the R&D as a percentage of sales in Medical went up again in the first half of this year. John Crane, 28% increase in spend on new product development in the first half of this year. So clearly a focus there, and I think some interesting new products coming out of that. But the bottom line is, I think we can, like most things, probably be more effective in targeting our spend and that's something certainly Richard Ingram is focused on in Detection. But nevertheless, ultimately, the future of a business depends on keeping at the forefront of technology and introducing new products, so I think the number goes up. In terms of the cross-divisional initiatives, and in particular China, I think this is one of those questions where you, in many ways, wouldn't want to start from here. I think if we would go back in time, if we had gone through a process perhaps of concentrating our various initiatives in China in one location rather than spread all over the country, if we had had a greater degree of leadership in China, particularly in terms of dealing with customers and dealing with regulatory matters, I think that would have been a significant step forward. And I think the problem we have is, none of the businesses really have critical mass within the country and the Smiths brand, as a result, is not widely recognized. And I think what we need to do is get greater recognition from that brand and leverage the resources we have at that country. I think the interesting question, of course, is in part the one you asked; how does that apply on a product-by-product basis, and I think that is more difficult. But I think in terms of brand presence resourcing back office government affairs, which is particularly important there, I think that gives us a real opportunity. And that's the path we're going down and we'll watch that very closely as it evolves. Yes, in the third row in the middle.
Robert Davies: Good morning, Robert Davies from Morgan Stanley. One more for Duncan. Just on the 2016 outlook for the business, you mentioned obviously 2015 is going to be underpinned by the mid and downstream business. How do you think about your 4% to 6% growth target into 2016 given the risk you see around cancellation deferments? I guess just some sort of color on what you're seeing there. The second one was around M&A and just how you're thinking about picking up assets potentially for the John Crane business, given the move in oil price. Thanks.
Philip Bowman: Thank you for that Robert. Duncan, at least we got one thing right at the rehearsal last night, which is you said all the questions would be on John Crane.
Duncan Gillis: Thank you for delivering. Let’s see. First, let's go with M&A first. We have a good pipeline, right now, of deals that we're looking at. Since I've come in, we've looked at over a 100 companies, I don't know if it's lucky or smart, but feeling pretty good about not having bought anything when prices were high. As you all know prices are sticky coming down but they're going to come down. And we're seeing more activity now in terms of willingness to have what I would call more realistic prices. Having said that, we're going to continue to be very selective. When we – when the Board of Directors made a decision to reduce the hurdle rate, there was a lot of consternation, I remember, that we might do some unwise deals, and we've refrained from doing that. And we're going to continue to be selective and look for the right deals, but it's a good pipeline. Sorry, Robert your first question?
Robert Davies: 2016, Duncan, yes…
Duncan Gillis: So let me back up. I talked about the backlog a little bit. Our backlog, just to give you a sense, and these are kind of at constant exchange rates, but our backlog is up end of January about £18 million or about 10% versus where it was at the beginning of the year. You remember I said at the beginning of the year that we had an elevated backlog because of our manufacturing issues. And last year, for the first half, we ended the first half at a record backlog for a first half. And this year, the backlog is higher than that by a couple of million, so it's another record. So that the backlog looks solid, as I said; it's pretty good. And the issue is we don't know if projects are going to be deferred; I talked a little bit earlier about this Kuwait project. We kind of closed that deal in December. I thought we were going to start to see orders in January; we're now just starting to see orders start to trickle in now. So it's across a lot of different EPCs and pump suppliers. The pump OEMs are the guys who actually place the orders with us. So because of that, I'm a little bit hesitant to say kind of what's going to happen in the second half of this year with that part of our business, the aftermarket business will continue to be strong. And so that then plays into, how do you think about next year, because it depends a little bit on what those deferrals looks like. So right now, we're looking at – so it will be below the 4% to 6% next year, no doubt. It will probably be a similar outlook to what I'm saying for the second half right now in terms of down a little bit, until we get closer and get a better sense as to what we're looking at, but we'll see, right. And we're going to continue to build that backlog and continue to drive the first-fit projects, but also take advantage of what is a very strong aftermarket in our rotating equipment business.
Philip Bowman: Duncan, thank you. I mean the other observation I would make simply is, there are a variety of views as to where the oil price will be in 2016, and that, clearly, is going to have an impact. There were the bulls and the bears on that, and our crystal ball, I'm afraid, is still at the menders. Sandy?
Sandy Morris: Yes, we’re going to break Duncan I think here. Forgive me while we’ve danced the light fandango around upstream, we used to say it was 15%. I thought by the end of 2014 we were talking nearer 10%. And I think as long as we kind of confuse John Crane because of the lifting rods business, we're going to continue to sort of have this issue. So the good news to me is we got the aftermarket, which is higher margin, which has now been growing consistently in mid single digits. So whatever revenues do because of lower oil, I'm sitting here thinking I can be relatively chilled about profits, can I; is that right?
Philip Bowman: Duncan?
Duncan Gillis: Sandy, I understood the question until the end, you could be relatively what about profits?
Philip Bowman: Cheerful, I think it’s…
Duncan Gillis: Cheerful, I thought you’ve said chilled, cheerful…
Sandy Morris: Yes, I was trying to be cool.
Duncan Gillis: I think in terms of profits, I think your point about, and I think I said earlier that the mix will be favorable, right. And so we feel pretty good about margins and pretty good about positive mix because of the aftermarket piece of it. In terms of the upstream business, I do think we go back and forth between total upstream, which has production solutions business, but also has seals that we provide to ESP suppliers; it has seals we provide to one company that manufactures drill – drill bits. And so we've got other pieces in there as well and some of that’s – those drill bits are for mining and some of it for shale, so there's pieces in there. And then there's some offshore business that we do like in the North Sea and in the Gulf that gets thrown in there as well, or the pre-salt work [indiscernible] Brazil. So I think that's why we get confused about the 2015 versus the smaller number where we focus on just production solutions. But yes, profit should be have the potential to be decent with the mix, but we'll see. I think Philip's point about oil prices is right, in that we're assuming, right now, that prices stay below this sort of $50-$60 range through the middle of next year which will encompass our entire fiscal year, some people believe it will come up sooner, some people believe it will last longer. We make an assumption and then we'll adjust based on what we see in the marketplace.
Philip Bowman: Sandy, should Duncan sit down or do you have a follow-up?
Sandy Morris: No, I'm finished with Duncan.
Philip Bowman: Okay.
Sandy Morris: I’m just going to start on Jeff, if Jeff will forgive me. Two things really; I mean we know this competitor has had awful quality problems [indiscernible] and all of the rest of it, but his big USP used to be that he was well into the hospital network stuff and he was unique. And now, how close are you to that or are you already there because this is going to determine now the playing field, I mean going forward, I think?
Jeff McCaulley: So I’m not quite sure what you're driving at.
Sandy Morris: His pumps are totally integrated into the hospital IT systems, which is something we talked about years ago; it went a wee bit quiet but you make reference to it again now.
Jeff McCaulley: So one of the competitors that you're referencing is more so integrated because of the connection with the fluid business and very few people have that connection. So that the big connection that a lot of people have been working on is more the interoperability, how well the pumps connect with hospital systems and the like. So we've been developing that; we're launching most of our interoperability; we launched the first phase of that within the last year. We’re launching another two phases of that this year, so we're well on our way to have the kind of connectivity that that hospitals want within their infusion pump system. So, I think we're going to be very much on par with where the market is going relative to that kind of connectivity within the facility. So people bring different benefits of their products to the relationship within hospitals and some have other lines of business whether it would be fluid businesses, some have other lines of business whether it would be vascular access like ourselves. We have some competitors with dispensing systems. So people are trying to leverage different ways to have broader relationships with hospitals. But I think ours is very effective and we've been building out in the dimension that I think is most relevant to our customer. So I continue to feel very good about the competitive position we have and about what we're doing to continue to build out that competitive position. So I really do believe we will continue to see strong performance within our ambulatory infusion as well as within our syringe infusion.
Philip Bowman: I think, Sandy, we've been, to one extent, lucky. I mean there was a lot of hype and a lot of noise four years ago about hospital management systems. If you look at the actual rate of adoption in the U.S., it has fallen far, far shorter than the original forecasts. And whereas I think I would have said we were going to face a significant competitive challenge because we were late in developing the interfaces, the reality is that because adoption has been much slower, actually we’re now increasingly well positioned, competitively, compared with what I thought might have happened.
Jeff McCaulley: I would even add, people talk about meaningful use of EMR systems, and that's fallen well below what people expected. The use of how our products connect to those systems is even much less, so fortunately we haven't seen the industry move as quickly as was once predicted. The good news is it's given us a lot of time to catch up and we're in a position now where we are launching most of the features and functionalities that are necessary to be competitive in that kind connectivity.
Sandy Morris: Good, excellent. And then one last one – no, no sorry, Jeff, it is not me playing whack-a-mole here. But just on Detection, the first half profitability actually surprised me quite a bit, given we were presumably trading out these zero margin; well they're supposed to be zero margin, contracts. And I know our aftermarket is there, but we're talking about it being a little bit softer in the second half. So can I just assume that this is closing out contracts that may have slightly benefited the first half and it's just a kind of run of the mill thing, please?
Philip Bowman: Richard?
Richard Ingram: Yes. You can assume what you like. But I mean to give you some flavor, yes in the first half we had one program with the TSA with quite low margins against it, but some very good pickups in the aftermarkets. Into the second half, I think the margin, if you shift around the globe a little bit, as we start to deliver the OE front end of the two programs that we've just talked about, Abu Dhabi and Heathrow, what we're seeing characterizing our businesses over the life of the contract, these are quite attractive programs, but you have to prime the pump with some hardware deliveries which are quite low margins. So it's really dependent upon how successful we are in pushing that – those revenues. We're going to push as hard as we can; we may as well get it done. And somewhat perversely, the more you push to get those programs primed the weaker the margins will be, so that's really the kind of pieces of the jigsaw moving around.
Peter Turner: We’ve got some transactional FX gains in the first half as well in Detections, so that's giving a little bit of benefit to the margin. So as you wade through the appendices you'll pick that up.
Sandy Morris: [Indiscernible]
Jeff McCaulley: Thanks, Sandy.
Philip Bowman: Now, so Sandy, Medical continues to be a victim of Abenomics. We manufacture in the U.S., we sell in Japan, priced in yen for four year fixed term contracts. So there's not much you can do, hedging can ease the pain in the short term, but other than manufacturing in Japan, which I'm not recommending, that's been the main bug bare for Jeff. Any other questions?